Craig Barnes: Good afternoon, ladies and gentlemen, and welcome to our third quarter results presentation. Just while you’re looking at the disclaimer to explain how we’re going to run the presentation today, Niël is actually in London and he is going to be video conferencing in. So he will be doing the first part of the presentation and then he will probably hand back to me to go through some of the numbers. So let me hand you over to Niël in London to start off with some of the quarter features. Thanks, Niël. 
Daniël Pretorius: Thank you very much. Good afternoon everybody and thank you very much for taking the time to attend this presentation. As Craig said, I am currently in London, hopefully the line is good and there is not too much of a lag on the visuals. So I will keep it short and get straight into the key features which you will see on Page 3 of the results presentation.
 As in the past, we are comparing our results to the competitive quarter in the previous financial year and based on those, we are encouraged by the trends that we are seeing developing. The circuit is increasing the end, outstanding of our Brakpan circuit is improving as we go along. And these numbers are pretty much in accordance with expectations based on forecast looking at volumes and also looking at net rate going into the plant. Recoveries have been very consistent now for quite some time.
 You will see on the next slide that our gold production compared to the third quarter last year is up 3%, while revenue is up nicely to just over R0.5 billion. Operating profit is trending in the right direction, our focus is cash and cash flows. Cash operating costs that’s in dollar terms up 3% to just over $1,100 per ounce, that is also very much in line with what we are targeting. And then we’re also pleased that our headline earnings are up 17% to R0.14 per share for the quarter. And that obviously supports the undertakings and the expectations that we tracked around dividend yield and also the targeted dividend yield between 4% and 5% for the financial year. The longer term trends are equally encouraging. For the 9 months, we saw a 7% increase in gold production just over 110,000 ounces that puts us nicely on track towards our permanent production of between 140,000 and 145,000 ounces for the year.
 Gold revenue is nicely up because of high gold price and improvement in gold production. Cash operating profit also is higher than R0.5 million R581, R582.1 rather and cash operating cost is pretty flat, cash operating cost per unit, that’s because cash product -- costs product are not up by much but production was. So you have a bit of dilution effect that offsets your inflationary pressures. And then headline earnings encouraging up 51% to just under R0.60 per share, I think the consensus view of the target that out pay on the sell side is just over R0.65. We do seem to be trending quite constantly in that direction as well. So being a company that is increasingly positioning itself as a dividend yield, margin oriented company, these trends are certainly supportive of that philosophy and that strategic approach.
 And moving on to the next slide to the picture there of our Brakpan plant Slide #4, and then trading to the trends, there you should see how the volume delivery into plant has trended over the last 4 quarters. We are encouraged by the fact that on average on the whole volume trends are steadying. We want to achieve between 55,000 and 60,000 tons a day into our plants, obviously closer to 60,000 than 55,000 on average including the production for maintenance and some part of it is on scheduled maintenance.
 Service is very much within the engineering capacity of delivery infrastructure and the fact that with the exception of the previous quarter which was a really good one. This one is second best. I think we take comfort from that and does seem the steps that we taken especially around August/September of last year, we have a dedicated team around volume delivery regime around managing the integrity of the pipeline and management leaks, following procedures and so forth is certainly having the desired effect and you could see a relatively steady performance around volume.
 Our yield is slightly down, you could see that the difference between the previous quarter’s yield and this quarter’s yield, you’ll find in the third decimal and that of course also has the effect that the combined would have slightly lower volumes that the gold production quarter-on-quarter is slightly lower. Tax rate was a little bit lower this quarter, but we mined the ore body as we find it, we have the specific mine works program and we are very deliberately mining in a very consistent pattern. So we’ve done high-grade with the goal price where it is.
 We are in a position to mine the ore body and as I said earlier in a very consistent pattern. And even in a failing stem you have trending depending on what the initial deposition patterns of residues look like on that there. You are at the stock, you will find more of your files in high-grade. So as you move your ore further and further, you are moving across high-grades and then slightly into low grades, and then back across into high grades. Encouraging, yes, I think over the years we’ve also found that the deeper you go into the dam, the higher the grades become. Volumes taper down somewhat slightly low in those circumstances because of the geography changes a little bit. But on the whole these great patterns and hit rate patterns are not inconsistent with what we’ve experienced in the past.
 Moving onto the production numbers itself or the production change itself that is Slide #w7, you could see that also quarter-on-quarter or comparative quarter-on-quarter the trend was slightly up. On the whole, I think the cycle is relatively predictable and expect as we wanted to be. We are looking forward obviously and we’ll talk a little bit more about that further into the presentation when we fix that flotation/fine-grind circuit we have, also with regard to the optimal exploitation of our reserves. But these trends are not inconsistent with what I think [indiscernible] is telling us.
 Right, to the very next slide, Slide #8, gives you an indication of where we are progress wise on flotation/fine-grind project. Just to remind those listening to this presentation, you recall that we decided to refurbish for the flotation circuit, flotation circuit Ergo and installed these fine-grind mills to be established at. This time 37% of the gold that does not respond to our metallurgical process, is gold that is encapsulated in higher-fraction pyrites.
 In the past, we didn’t have technology to drive those pyrites down, would that be floated out, but there’s not much and seems to trade concentrate in this you can do something with it. And we believe that the fine-grind technology will assist us and do just that, floating up our higher-fraction pyrites. We can put these flow, this mess pool through the fine-grind circuit, we can grind it down with those gold particles become visible or soluble in response to cyanide gets dissolved. And we do believe that we could see quite a significant improvement in extraction efficiency by bringing previously gold also into our production cycle.
 So we’re pleased with where we are with regards to developments of this project. Certain sections of the project have been water commissioned and I encourage you to talk to our engineers who are there in Johannesburg and ask them about that. We’re very excited about the progress and we are looking forward to seeing this being in full-fledged towards August and September.
 You could see that the remaining CapEx for the project is also fairly, I wouldn’t call it negligible, but it represents a number that is well within our capacity, well within our means. We'll look at our cash and cash equivalents that Craig will take you through later on. And we can see this project after that really having to dip into funds that we set aside for our shareholders around the expectations for dividends that we’ve created. Of course once this project is over, we do think that strategic capital or project capital will be moderated quite substantially. So we might be able to open up with the daylight margin wise also once this thing is up and running.
 So going into the new financial year, the 2 things that we are encouraged by are, first, the fact that hopefully we will see better recovery efficiencies and as a consequence slight increase in gold production with a not too significant increase in costs and the opening up of some margin build about by a modulation and strategic CapEx.
 I will hand back to Craig now to take you through the group production and financial performance. 
Craig Barnes: Thanks, Niël. Just on the group trends I’ve got some graphs. You would be familiar with these graphs from previous quarters. I have changed the format slightly. You will see that on the gold bars is fiscal 2012 and black bars are fiscal 2013 and then in the first t3 graphs you got quarter-by-quarter, quarter 1, 2, and 3 and in the numbers here to date. So I think it’s quite good to put it that way, because you can see the trend in quarter-on-quarter and you can also see where we are year-to-date.
 So our current operating margin is sitting at 35%. It is slightly down from the previous year’s 37% and you can also see the Q3 or the third quarter margin would have also been impacted by the drop in production quarter-on-quarter, it was at 33%, but still overall healthy margins for our business at around 35% on average for the year to date.
 The EBITDA or earnings before income tax, depreciation and amortization, you can see the trending quarter-on-quarter for each quarter it has been up for the first 3 quarters and therefore for the year-to-date is also up to R401.3 million for the 9 months ended March 31, 2013 and that’s obviously is a result as Niël mentioned, the higher production year-on-year, the higher gold price year-on-year being the major contributors towards this. Then on the headline earnings per share similarly, you will see the same trends each quarter on the previous quarter or on the quarter in the previous year is up and similarly also for year-to-date numbers up to R0.59 for the 9 months compared to R0.39 in the previous year.
 On free cash flow, you wouldn’t see the same trend because firstly, it explains if you just look at the year-to-date number, it is down on the previous year. The previous year’s number would have been treated, I think was around about R80 million which we had repaid from Blyvoor on its intercompany loan up to -- I think it was the December 2011 quarter, which would be in the previous year’s numbers. In addition to that, there has been lot more environmental expenditure in the current year, which would have impacted those cash flows, but still very healthy free cash flow margins. And also to mention the CapEx obviously that we’re spending on the flotation/fine-grind circuit in this year.
 Okay. On the income statement, I’m going to highlight a few numbers. The revenue number, you can see it was up 16%. Obviously that was the higher gold price and also higher gold production compared to the March 2012 quarter, which would have impacted that. Costs are up 22% year-on-year and a large chunk of that would have been brought about by the fact that we are delivering more tons to our plants and then obviously it has an impact on cost. And then the other impact would be annual price increases, specifically driven by electricity prices and wage price increases and those would put pressure on the cost numbers that you see there.
 We still ended up with operating profit of 5% on the March 2012 quarter. Depreciation as I mentioned before you would expect to be higher, because of the capital expenditure, the increased capital expenditure on the infrastructure, specifically for the pipeline, the completion of the Crown pipeline and also the flotation/fine-grind circuit.
 In net financing terms just to mention just for the profit before tax line that was up because of the dividend we received from Rand Refinery in which we hold just over 10% so that would have been in that R13.3 million and that leaves us with profit before tax up 20% on the March 2012 quarter to R93.3 million, but an after-tax was up 41% and as we’ve mentioned previously headline earnings up 17% to R0.14 per share.
 Couple of things on the balance sheet, which I always asked, in non-current investment in Village which is approximately R91 million of that number and most of the balance has made up our shares in Rand Refinery.
 On the cash, cash and equivalent number R70 million of that, or approximately R70 million is restricted cash you can see that our cash and cash equivalents did go up even though we’ve had at significant dividends in the last quarter and also with the capitals spend on the flotation/fine-grind circuit.
 On the long-term liabilities, I’ve just mentioned there that our total borrowings on our balance sheet is R165 million. So the long-term portion of that would be under long term liabilities, and I think this is about R20 million or just I think R24 million sitting under current liabilities which is the first portion of the loan notes that are repayable in the first quarter of 2014. And yes, you can see our liquidity is still pretty good and our current ratio is sitting in 2.5 which is a pretty good current ratio. I’ll hand you back to Niël in London to go through the remainder of the presentation. Thanks. 
Daniël Pretorius: Thanks, Craig. So moving on to Slide 16 in Zimbabwe, we have now happy stuff with plenty of assets there such a way that one could position [indiscernible]. We’ve appointed to assist us for that and we’ve had discussions with a number of parties who are interested in this kind of assets. And as we say on the presentation itself, the assets that we just going to say are underground type assets and not the surface type assets that I think we hope to find them when we initially set out for Zimbabwe.
 We are in discussion with entities who own surface type and looking at technologies around the potential recycling also surface types but this is a very early stage discussions. As and when we get to the stage where we put anything on paper then clearly we would make the necessary disclosures and issue the necessary releases in that regard. The same applies also to the disposal of ERPM extension type project that we capitalize by the way of small front and which we combine with the exploration or Extensions 1 and 2 exploration assets and hoping to expose [indiscernible] asphalt as well formal process in that regard is also been ongoing now for the last few months. And we are hoping to have something in place by the end of this financial year.
 For the rest of other opportunities concerned, I think we are, at this stage, primarily focused #1 priority to get our fine-grind flotation up and running and everything else take second place or second in priority to getting that circuit up and running.
 Moving on to the slide, Slide #17, the looking ahead slide, I think you could see in the trend slides around volume and around grade and recovery, the sensitivity of our circuit. We do believe that we have to do this model managed to set something up that, of course many of the risks typically associated with underground mining. It’s not a risk-free environment though by any stretch of the imagination, our risks have not become more same the line process by process. We know what they are and we know what the things are that we need to take close attention to.
 The business doesn’t run itself; we need to still very carefully manage both delivery of tons in to the plant. Volume delivery is absolutely essential, especially on this scale that we are doing it now. Absolutely essential that we manage recovery efficiency, it’s absolutely essential that we manage the delivery of engineering projects and the technical specifications of those engineering projects, because once it is there, it’s there and there is not much room for changes after that.
 So we will keep a very, very keen eye, on delivering into the technical design specifications of especially the flotation/fine-grind circuit going into the next few weeks. So in that way we want to team that up nicely and see if we can position it in such a way that the money that we spent Zimbabwe over the last few years, which is just over R40 million, but that it is not lost, we get so many after that. Same applies to ERPM at the end, we think we’ve packaged this quite nicely that as I said previously currently not receiving any value recognition from the market, but that is unlocked in some way or another without increasing risk, the risk that we moved away from we want an exposure to that again.
 And then of course around some of the issues, environmental issues Craig spoke about high environmental spend in the last year. We want to be seen to play proactive and supportive role in all issues of AMV that I mentioned in previous presentations that we have made substantial infrastructure, available or placing it for disposal of the government’s agent the TCTA. They are going to be using some of our infrastructure to access underground water AMV. They will be using some of our pipeline infrastructure to pump a slurry and they will be depositing some of the slurry onto our [indiscernible].
 So we chose to believe that we are outplaying an active and supportive role in addressing that issue. But it is not entirely with the benefit to the government side operations because by making sure that we deliver company into this and assist rather support to this initiative one of our key risks, mainly water supply into our circuit, certainly increased and I think one of our sustainable development objectives that we sit for ourselves to no compete with the consumers of portable water over the next 3 years like ourselves in position where we can move completely away affordable water and keep an alternative sources of water delivery that that brings us closer to that as well.
 In addition to that we’ve also received commission from the Department of Water, water phase to introduce plain water, storage water into our circuits from a sustainable development perspective, which is one of our key strategic look ahead of features, I think those 2 initiatives are certainly going to play the drop for us to deliver substantially into those objectives as well.
 We do want to extend our EBDA foot print, EBDA were [indiscernible] training college, I think as a percentage of total revenue very few companies spend as much on this initiative, this part of the initiative than what we do. We started doing that independently of the undertakings that we've given our social and labor plan, but increasingly we are bringing those closer and closer. We’ve had several thousand parties through EBDA, externally and we’ll set serve some of our internal people. Presently I take a personal interest in the programs that we’ve established there for the schoolchildren around maths and science. We've extended that now also into accountancy classes and basically what means is that we have teachers on our payroll on a full time basis offer extra classes to schoolchildren from the surrounding areas and the impact that that has had in the pass rate of maths and science from the 3 pass rate, I think has been really, really impressive. We've made peace with that. 
 Maths and science is facility that equips you for tertiary education. Accountancy, though, is something that you can actually use after school straightaway, a skill that you are going to apply within business community. And that’s why I know excited about the fact that we are also introducing the accountancy classes to those particulars from this year onwards, and that’s an initiative that we want to extend, we want to roll that out. So EBDA from a corporate social investment perspective from contributing into human capital, that’s one of the key components of sustainable development it's certainly a project that I find to be dynamic and to be of high integrity.
 Our employees remain very much focused, key focused way. We’ve been through a number of different initiatives to get access into underutilized intellectual capacity or intellectual capacity within our employees, our laborers. All our operators already mentioned increasingly being more of a mechanized business. The Think Campaign I thought kicked off well, encourage people to bring intellect-ing to the workplace as well to bring their mind power and not only their muscle power. That’s been extended by the Best Life initiative, we spoke about that earlier as well. That’s been launched completely now. DVD has been done with in-house movie stars who are played in this little DVD that was made with real-life scenarios and the first stop here, the first objective there is to achieve a certain level of financial savvy.
 We want people to understand the implications of cash flow and some short term loans. We want them to understand the issue around garnishee or specifically focused garnishee or is to see if we could get our employees liberate from those and I am pleased to say that we have less than 40 of those and we’re testing the legal power of those garnishee orders too. In addition to that obviously we want them to develop personally in the careers. The opportunities have been provided through EBDA internally through proper mentoring and coaching, also courses that would encourage our employees to take. We want to push that straight into family life and look around issues of accommodation. I think that a person who arrives at work and who doesn't have these other personal safety issues that he has to be over or she has to be over is going to be more productive employee, so we are investing in that.
 We are looking very, very keenly at planning opportunities in that regard to and increasingly breed an environment or create an environment where our employees are content, where they believe that they can look about the personal and professional themes, and where we also provide some opportunity for them to deliver into the expectations of the next generation. I do believe that, that is the essence of opportunities on a broad base. So those things will be receiving a lot of our attention and then of course we also want to produce a little bit of gold along the way and maybe pay a nice dividend to our shareholders. Those would be the key focus areas for us in the months going ahead.
 That concludes the presentation, formal part of the presentation. We would be happy to take your questions. And I’ll stay on line after we’ve concluded the session. Thank you very much for attending. 
Adrian Hammond: Good morning. It's Adrian Hammond, BNP Cadiz. A couple of questions for Craig and Niël. Just firstly for Craig, can you give us indication of your staying business capital once everything is normalized, after fine-grind project and I’ll follow-on with the next question after this? 
Craig Barnes: Going through a budgeting process now to have a look at our next year’s capital spend. I know Niël has provided guidance previously to the market on that number and we’re going to be trying to get as close to that I think it was close to R50 an ounce. We will be trying to get as close to that as possible, but I think for this next year we definitely going to be seeing a significant drop in our capital from what we -- I think we budgeted this year around about R340 million just over. And I think we will see a substantial decrease in that number, probably less to around 50% of that number, less than 50% in even in the next year. 
Adrian Hammond: And then just -- I think just touching on Niël saying leading to dividends and you got the cash in the balance sheet, you got some bullet shares, CapEx spend as you say is coming down, business is cash generative, other than potential increase in dividends as you alluded to, what are the plans to do with that cash? What’s beyond after fine-grinding for the business? 
Daniël Pretorius: I think the saving on CapEx is only a very moderate 50% -- a little bit more than 50% in the year [grind], we have never spent any serious money on the research and development. We’ve appointed some of the set of people to do enough test work and so forth and they have come up with what I think is a very good solution around fine-grind and flotation, but going forward we are certainly going to spend a little bit more money on external expertise towards research and developments, maybe 1 or 2 laboratories to assist us.
 Just to do a bit of analysis around what it is that we can do in addition to our current metallurgical process to improve gold recovery. Even after fine-grind -- flotation and fine-grind we’ll still be putting almost half of the gold that goes into our plants, back on to the tailings stand. And technology to get that I think is out there, we just need to go and find it, and we need to align it with the ultra-volume environment in which we find ourselves.
 Also with regards, I think there’s always a question of growth over the growth. Our business is essentially only 7 years old, and may be even younger. Although it’s the oldest listing in Johannesburg, and although it stands on either side of mineral exploitation both the underground site work, which we started more than 110, 120 years ago. And the recycling of failings[ph] now, I’ll go in this current format, the consolidated portfolio of assets that we now have, really is the result, the end result of the process they started just over 6 years ago.
 And we spent a lot of capital over that period of time. The business looks different from the risk perspective, the business certainly looks different from the financial model substantially different, and the people that we are employing at different skills and what you would find in the mining industry, so there have been a lot of things that happened and that to transform this business into something completely different. The only thing that I don't think has happened to the extent that we wanted to happen is the value flow through to shareholders. I do think that this model promises more to shareholders. And as a consequence, I think what we want to do in the foreseeable future, when I say foreseeable future I'm talking about say 2, 3 years from now, is allow for the model to settle in, allow for the integrity of the model to become increasing visible and address the register. Our institutional shareholder base it moved from just over 20%, 18 months, 20 months ago to more than 50% in the recent months, and we want to work at that, we want to make sure that we get more of the longer term fundamental analysis type shareholders on to the radius there. Based on the model, not on the promise of some draft initiative or finding a resource some of the story we want them to come on board because of the integrity and the effectiveness of this current model.
 And we will do that I think by delivering into the expectations that we’ve created around risk profile of the business and the yield capacity of the business and offering a solid picture on the investment. I think increasingly as that register changes and that's become one of my principle duties as an employee of the company is to reach out and again find those investors and share the model, to share the upside associated with the model and take issues around the register. Hopefully in 2 or 3 years from now, we’ll increasingly find that there would be I think resembling the shareholder mandate as to where the next step is going to be.
 Not going through [indiscernible] because I think I mentioned earlier this business doesn't manage itself. So we’ll continually work at business improvement technologies, continuous business improvement practices along with all the other sustainable development issues. I think we think that serious investors insist or require that the company they’ve invested take those things seriously and there is higher on the list of priorities. But I think this 7-year-old business will now settle in and optimize with current circuits or assume better research and development, and if that issue is around the register and become serious business that is taken seriously by serious investors. 
Craig Barnes: Can I check if there are any questions on the conference hall? 
Operator: There is no question from the conference hall. 
Craig Barnes: There is one question from the webcast. It's a question from [indiscernible]. What products you're looking to complete after the fine-grinding project is complete and where will CapEx flow to? 
Daniël Pretorius: Fine-grind is the last of the major strategic investments that we will be making for quite some time. We are continuing to open up a bit of daylight between the revenue line and volume cost line as a consequence and we are not gaining any major projects at this point in time. As I said earlier we want the business to settle in and for the model to prove itself. 
Unknown Executive: Any questions from the audience from Johannesburg? 
Julie Bain: I am Julie Bain from Miningmx. And just a quick one in terms of investing more in your R&D will you just think you would be developing noble ways of releasing the gold from the dumps and will you be able to sell that intellectual property in time? 
Unknown Executive: I'm going to be retaining the couple of people that I spoke about earlier so also find me the question to answer to that question, I just don’t know, but we may have to think out of the box a bit technology wise. Technology has improved so much for us, changed so much over the last few years from such a large-scale I don't really know what the technology is going to look like. Maybe it is nanotechnology, maybe it is some sort of laser optical technology, I have no idea. I think the scope is wide open. 
Julie Bain: Okay. And one last one in some bad way where, have you're basically selling of the stake -- sale off the stake that you had there. You said you hope to kind of, by recycling some dumps up there that would make up there capital expenditure the exclusion expenditure that you did invested up there is that right, did I interpret that correctly? 
Unknown Executive: I think what I said was, what I mean, we want to do that process that make sure that the R40.5 million that we spend from Zimbabwe that doesn’t correct, so we want to do the transaction then it was at least that plus whatever value we think, we may have created by identifying these ore bodies. That is recognized. 
Julie Bain: And would that involve processing dumps in Zimbabwe? 
Daniël Pretorius: No the processing dumps in Zimbabwe is something that we think we might do either on our own or in collaboration with whomever is willing to work with us. But that's not part of the transaction, and transaction that we are looking it now if the disposal or a cycle that would  realize what we spent plus some more. Whereas the treatment of dumps is something that we would look at and I think probably and only after we've seen what the fine-grind technology offers, it may open up for us.
 So we do have this technology and we could potentially [indiscernible]. Maybe you want us to come and treat your dumps and we’ll come and take something up and you can give us percentage of the growth reduction with the offer something to that. The asset when it becomes more tangible as you remain if we come something that requires disclosure or any kind of announcement then we will do that, is the stage is very much conceptual. We know that they pick, we know that lower those dumps or would be refectory nature your normal -- specially to add anything else that really be in effective in treating those, may be fine-grind assets proceeds and do the test works and see, works that will taken in that. 
Adrian Hammond: Just a follow-up if I may, just on the dumps on end zone, can you just give us some more detail on tonnage or grade? 
Daniël Pretorius: Not really, no. It's early day. 
Craig Barnes: Daniel, I think that’s probably the end, do you have any video or anything? 
Daniël Pretorius: No video. Okay thanks very much for attending ladies and gentlemen and please help yourself to some drinks and some eats outside. Thank you. Bye-bye.